Operator: Good morning. My name is Rob and I will be your conference operator today. At this time, I would like to welcome everyone to the On Second Quarter 2023 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session [Operator Instructions] Thank you. Jerrit Peter, Head of Investor Relations, you may begin your conference.
Jerrit Peter: Good afternoon, good morning and thank you for joining On's 2023 second quarter earnings conference call and webcast. With me today on the call are Executive Co-Chairman and Co-Founder David Allemann; CFO and Co-CEO, Martin Hoffman; and Co-CEO, Marc Maurer. Before we begin, I would like to remind everyone that today's call will contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements reflect our current expectations and beliefs only and are subject to certain risks and uncertainties that could cause actual results to differ materially. Please refer to our 20-F filed with the SEC on March 21st for a detailed discussion of such risks and uncertainties. We will further reference certain non-IFRS financial measures, such as adjusted EBITDA and adjusted EBITDA margin. These measures are not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Please refer to today's release for reconciliation to the most comparable IFRS measures. We will begin with David, followed by Martin leading through today's prepared remarks, after which we are looking forward to opening the call for a Q&A session. With that, I'm very happy to turn over the call to David.
David Allemann: Thank you all and a warm hello. It's a pleasure to reconnect today. I hope you have had a splendid summer and are now filled with renewed vitality as we approach the second half of the year. In my introduction, I would like to talk to the tremendous vitality of our real team, business, and brand. It's this very energy that allows us to present such an outstanding set of results. Q2 of 2023 net sales of CHF444 million are the highest in our history, reflecting a growth rate of over 52% versus the prior year period of over 60% on a constant currency basis. Our adjusted EBITDA grew to CHF63 million, growing by nearly 100% year-over-year, supported by the highest gross profit margin since our IPO. These numbers are the evidence for the ongoing strength of the On brand and the exceptional demand we continue to see across all channels, which we will dive into further later in today's call. Remember our recent conversation during the full year results call we spoke with conviction about 2023 promising to be the best year yet for all. Well, halfway through, and it's held true on so many measures. We aren't just riding the numbers wave, but also reaping the rewards of being a bold community-focused brand that you can't ignore. Let's now direct our attention to the three crucial pillars that make On tick, the vitality of our product; our brand; and our global outreach. Firstly, our product's vitality is at an all-time high. As a founder deeply involved with the product team, I'm thrilled by the achievements. On has launched six all-new performance shoes within a short 24 months, with four transforming into major franchises. They already contribute a substantial share to our product range of the recent launch and keep growing fast. As you travel, keep an eye out for our Cloudmonsters, Cloudrunner, Cloudgo’s, and Cloudsurfer’s on major running routes. You'll see that our shoes are loved by runners everywhere. And don't forget our recent triumph, the Cloudboom Echo 3, the long-distance running shoe worn by On athletes to win some of the biggest races around the globe, including the IRONMAN World Championship. The majority of our product sales stems from shoes exclusively made for runners, with a lot of vitality from the already mentioned new franchise. You will appreciate that On's product success has a uniquely broad base with seven franchises that have evolved from a single product into a major building block for the business. We never aspired to be a one-trick pony. Obviously, I can't speak of ponies without mentioning the stellar reception that our new kids' shoe business has experienced, a nascent franchise and major building block for On in the making. Number two, On's brand vitality resonates with a new generation of customers. You know that Dream On is our mantra. As a community-driven brand, we challenge the status quo, igniting the human spirit through movement. A prime example is our latest retail store in Williamsburg, New York, opened on June 30th. If you have already visited you know, it's a true community space. During the opening week, we hosted a 5K run and block party featuring local DJs and dancers, attracting over 1,200 community members. We also highlighted our social impact program, Right to Run. It's aimed at supporting community organizations that break down barriers to movement, from assisting individuals with disabilities in running races to encouraging city kids to explore the countryside. Our goal is to amplify these efforts and uphold everyone's right to run and move. The screening of the short film Right to Race was a very special moment. Premiering on Eurosport on World Refugee Day, it tells the inspiring story of On athlete Dominic Lobalu. The Diamond League winner is on his journey of hope from [indiscernible] Sudan to his quest for the Olympics. We are humbled to support Dominic and eager to see him at the starting line in Paris next year. In June, Paris joined LA, London, and Vienna in hosting On Track Night. Unlike typical track events, these nights infuse festival culture, creating an unforgettable atmosphere for runners and spectators. They will continue to be a pillar in our ambition to engage the community, celebrate the sport of running, and build a loyal fan base for the On brand. This also brings me to my third point. On is driving fast global expansion with a localized approach. And this is backed by global initiatives that drives the vitality of On as a performance-running brand. The UK's growth, more than doubling in Q2, exemplifies this strategy. Initially, a distributor market taking it in-house has allowed us to make even more customer-informed decisions on focus locations. We are partnering with retailers like JD, Foot Locker, and premium department stores. Our London Regent Street store introduced earlier this year is a huge success, exceeding our expectations in driving brand awareness. Additionally, a targeted Cloudmonster pop-up in Liverpool in May, tailored to local demographics, provided opportunities to engage with fans, [three events] (ph), and run clubs. These trends hold true across our global markets, and we are building a strong playbook of specific initiatives that make tangible impacts on brand awareness and sales. You can bet that we are not just tracking the metrics. We are actively monitoring how the On brand is perceived by consumers. Our commitment to performance-running and continuous innovation is hitting the mark, and we're pleased with the results. We observed this in the US, where the outstanding results of our athletes in recent months have significantly elevated the performance credibility of our brand and products. We have already spoken about Hellen Obiri’s Boston Marathon win. Recent successes with our Cloud spike on shorter distances have further propelled On's reputation. At the US Track and Field Championships in early July, On Athletics Club members, [indiscernible], Joe Klecker, and Alicia Monson, reached combined four podium finishes in the 1,500, the 5,000, and the 10,000 meter races. So you can expect On athletes to be ready for Budapest's World Athletics Championships this coming weekend. As you see, the strategy of integrating local community outreach with a global approach is proving highly effective, particularly in new or emerging markets. Regions such as the UK, Northern and Southern Europe, the Middle East, China, Japan, and LATAM are now vital parts of our growth, contributing a quarter of our overall business. The success in these areas underscores the tremendous potential for further expansion. So in conclusion, On is full of vitality, thriving in product innovation, brand resonance, and global expansion like never before. Now, let's take a pause and look back. We're approaching our two-year anniversary post-IPO this coming mid-September. Our life as a public company has been marked by remarkable progress and significant achievements, exceeding nearly all expectations we set two years ago. We view this milestone as an opportunity to update all our investors on our plans and trajectory for the future. Therefore, we're thrilled to announce that we will host an Analyst and Investor Day on October 4, 2023 in Zurich. We look forward to many of you joining the On team as we continue to Dream On. Now, it's my pleasure to hand over to Martin for the detailed Q2 financial review and the updated outlook for the year. Martin?
Martin Hoffman: Thank you, David, and hello to everyone on the call. It has been another outstanding quarter, driven by the strengths of the On brand across all channels, regions, and product categories. Since the very founding of the company, On has been an innovation-driven brand. It is happening across all departments, from finance to talent, from operations to retail and marketing, but ultimately culminates in the amazing products our world-class teams develop for our fans. David mentioned the broader launch of the Cloudboom Echo 3. It's a huge step in enabling the most ambitious runners all over the globe to lace up at races in our highest performing shoes yet. And we are extremely pleased with the waves of positive feedback and coverage it has received. We are convinced that Pinnacle products like this one will continue to increase the share of top runners in On’s and further fuel the adoption of our brand with the everyday running community. If we look beyond running in Q2, there was, of course, one more huge win that led to significant publicity and promotion of the On brand. In early June, Iga Swiatek clearly elevated our presence on the Grand Slam tennis courts. A win of the French Open at Roland Garros marked a huge step in building our credibility in the tennis space and clearly created massive excitement inside and outside of On. Iga's home country, Poland, offers a small proof point of the additional reach and awareness, the presence on the Grand Slam stages brings. Since our win in Paris, Google Brand searches in Poland increased by over 7 times. What stands out for me when it comes to tennis is how it is the perfect representation of On's core. The highest level of performance combined with the ability for a highly premium execution. A big congratulation goes to Iga and also to our team that in a very short amount of time has innovated these unique pieces that have created so much excitement. Now moving on to the numbers. As David mentioned, we are extremely proud of posting On's sixth consecutive record quarter, achieving net sales of CHF444.3 million, up by 52.3% year-over-year, and clearly exceeding our expectations. Our last 12 months trailing net sales have now reached CHF1.56 billion. The strength of the brand and the momentum become even more evident when considering the current FX environment. Over the last month, we have seen a persistent strength of the Swiss franc versus nearly every other currency around the globe. Absent those negative currency effects, on a constant currency basis, our net sales growth was approximately 60% in Q2, with negative FX impacts of around CHF23 million on top line. Importantly, as a result of the high end consumer demand, our fastest growing channel in Q2 was our direct to consumer business, growing at 54.7% versus the prior year period. This strong D2C performance resulted in a D2C share of 36.8% compared to 32.6% in Q1 and 36.2% in Q2 last year. With CHF163.5 million Q2 D2C net sales was a quarterly record and even significantly exceeded the very strong results during the holiday season in Q4 2022. Encouragingly, we have also observed an all-time record in traffic to our e-commerce channel, growing over 75% year-over-year. We see the strength of the D2C channel as a validation of our ability to bring consistent innovations to the market, to balance our wholesale and direct distribution, and to build a strong direct bond with our fans around the globe. We put pride in being an innovator, not only in the products we offer, but also in the way we operate our channels. A year ago, we launched Onward, our resale platform where circularity is at the core. Since then, more than 30,000 items have been given a new life through the program. In a couple of weeks, we'll publish our third ever impact progress report, where we will share more about our sustainability mission and progress. Finally, on D2C, we continue to see a small, but increasing contribution from our own retail store business, again, quadrupling net sales year-over-year. This does not yet include a material contribution from our new Williamsburg store, given the late June launch. But the store serves as another prime example of how retail is able to showcase On as a full head-to-toe brand. Our wholesale channel also grew rapidly in Q2, up by 51% versus last year to CHF280.8 million. Importantly, the demand for our product is also reflected in strong sell-out numbers at our wholesale partners, which ultimately drove strong reorders in Q2. For example, sell-out at our top five key account partners in the US combined grew 92% in the first half of 2023. This does not yet even include the new established business with Dick's Sporting Goods. Importantly, this quarter includes only a very limited number of incremental doors versus Q1, 23. We're incredibly grateful for the longstanding and close partnerships we have built globally with all our retail partners. One of those key partners for many years is REI. We're extremely honored to have been named their vendor partner of the year 2023 and can only return the praise and thanks for this outstanding collaboration. Looking ahead, and as communicated previously, we plan to selectively expand on our key wholesale partnerships by only adding doors with meaningful, additive customer bases. While we expand selectively, we expect the net additional door number in the coming quarters to be lower than it has been in the past, as we expect to see offsetting strategic doors closures in some of our more established markets. The strong performance of our multichannel strategy is also reflected in strong growth rates across all regions. EMEA reached CHF113.6 million net sales in the quarter, growing by 28.9% year-over-year, equivalent to around 35% growth on a constant currency basis. We continue to expand our market share in a very meaningful way, even as we see a more promotion-driven environment, offline and online from other brands. During the first half year, our D2C sales grew stronger than our wholesale sales in the region, despite the COVID lockdowns that expanded into the first month of 2022. David mentioned the ongoing strength in the UK. Another market that is seeing significant growth and momentum is the Middle East. At the moment, our presence in this region is very limited, highlighting the significant growth opportunity that we have. America's grew 59.8% in the second quarter, reaching CHF296.6 million. We're happy to see that this growth continues to be supported by a very healthy full price sell-through at our key wholesale partners. In particular, we also continue to take market share in the specialty run channel, despite a more promotion-driven environment by our competitors. At Fleet Feet, we're currently the fastest growing brand, while at the same time having the highest average selling price by a good margin. A great showcase of the incredible strong underlying demand for our innovative, differentiated and premium products. Moving on to the Asia-Pacific region, which grew by 90.2% in Q2 to reach CHF34.1 million, strongly supported by significant momentum in China and Japan. A few months ago, Mark and I, together with members of our senior leadership team had the privilege of traveling to China and meeting the team in person for the first time since the pandemic. We visited several of our own stores in Shanghai, Chengdu and Shenzhen, which are three of the five key cities that are currently in the focus of rolling out our own retail format. In total, we currently have 17 own retail locations. Beyond this, 13 additional cities are now home to an on-store, operated by local franchise partners. Again, a great example of how we are focused and selective, but at the same time, are planting seeds for our future opportunities and growth. It was hugely energizing to see all the fantastic work the team has been doing on the ground. And we are now even more excited about the opportunity within China and the Asia-Pacific region more broadly. Traveling around the world in the last weeks, we were clearly able to experience the variety and diversity of On products on the feet and bodies along the core running routes, the trails or in the streets of global cities. This visible observation is also strongly supported by our numbers. The strong growth of the brand is driven by all product groups, product franchises, and ultimately by all customer communities we are aiming to reach. Net sales in shoes grew by 52.6%, reaching CHF428.2 million. Apparel grew by 45.9% in Q2 to reach CHF13.4 million. Q2 was the second consecutive quarter in which apparel growth exceeded 45%, resulting in CFH57 million net sales in the last 12 months. The momentum in D2C, and in particular, our own retail stores, but even more our exciting product pipeline, provides strong confidence about the opportunity we have ahead of us. Supported by the strong D2C share, a continued high share of full price sales, and then again more normalized supply environment, On achieves a gross profit of CHF264.5 million, representing a 64.4% increase year-over-year, and a gross profit margin of 59.5%. This is the highest quarterly gross profit margin since our IPO, and the strong validation of our strategy and our progress towards our stated mid-term targets. Compared to Q2 2022, our gross profit margin increased by 440 basis points from 55.1% to 59.5%, largely as a result of the discontinuation of extraordinary air freight usage, partially offset by slight headwinds from the current foreign exchange dynamics. We continue to consciously manage our SG&A expenses alongside our net sales development. In Q2, SG&A expenses, excluding share price compensation were CHF216 million, and 48.6% of net sales in Q2, up slightly from 48% in the same period last year. While we achieve economies of scale in general and admin expenses, distribution expenses were, as expected, slightly elevated as a result of the ramp up of our warehouse automation project, alongside some temporary expenses for additional warehouse space needed in the quarter. As a result of the elevated net sales, combined with the strong gross profit and our conscious cost management, we have achieved an adjusted EBITDA of CHF62.7 million in the quarter, nearly doubled from the CHF31.4 million in the prior year period. This corresponds to an adjusted EBITDA margin of 14.1%, increasing from 10.8% in Q2, 2022. Moving to our balance sheet, capital expenditures were CHF11.2 million in Q2, equivalent to 2.5% of net sales. This represents a relative reduction in CapEx compared to Q2 2022, during which we incurred expenses in relation to our office build-outs in Zurich and Portland, and invested CHF11 million, or 3.8% of net sales overall. As anticipated and communicated in our two previous result calls, our inventory carrying value came down sequentially versus Q1, while achieving higher net sales, our absolute inventory position reduced to CHF435.9 million at the end of Q2, versus CHF465.2 million at the end of the first quarter. By actively managing our production plans and more focused efforts across our teams, we continue to be well on track for even more normalized inventory levels in relation to sales by year end. Our cash balance at the end of the quarter was CHF337.1 million. Importantly, as you will have seen from our 6-K on July 10, we entered into a CHF700 million multi-currency credit facility agreement, which replaced our existing CHF160 million credit lines. We do not expect to draw cash from the facility in the near term. Rather, we see the availability of funding as a fulfillment of our philosophy to plan prudently and to create future financial flexibility that aligns with the current size and maturity of our company, and as a basis to drive our future growth out of a position of strength. With that, I would like to move to our updated outlook for the full year. We have achieved record first and second quarter results and also had a strong start into the third quarter. We are receiving continued positive feedback from all our retail partners and have a pipeline of some very exciting new product launches in the second half of the year, both in apparel and in footwear. Altogether, this provides us with confidence that we have the opportunity to exceed our expectations that we had communicated in May. As you have seen in our release this morning, we are therefore again raising our outlook for the full year 2023 and now expect to reach at least CHF1.76 billion , an implied year-over-year growth rate of 44%. It's important to point out that at current rates and compared to our previous guidance, this outlook includes an additional negative FX impact on our US dollar sales of around 3% for the second half of the year, or around CHF20 million. For the second half of the year, our guidance implies a reported currency growth rate of close to 30%. This is equivalent to a constant currency growth rate of around 44% for the second half of the year and reflects our continued confidence based on the strong momentum and demand across channels, regions, and products that we are seeing for the On brand globally. We are well on track to reach our outlook of 58.5% gross profit margin. Throughout the rest of the year, we expect a continued high share of full price sales and continued normalized supply chain environment. Unlike on top line, an isolated US dollar weakness has the potential to be somewhat beneficial in the second half of the year when it comes to margins. Together with the strong first half year gross profit margin of 58.9%, we do even see potential upside to the 58.5% in the case of an ongoing US dollar weakness and no significant offset from other currencies. We are also retaining our adjusted EBDA margin target of 15%, which we continue to view as the right trade-off between profitable expansion and selective additional investments into the business, while driving significantly higher absolute EBITDA at the higher top line outlook. This full year outlook implies an adjusted EBITDA margin of around 15.7% for the second half of the year compared to the 14.3% in the first six months. This reflects our aspiration to achieve further economies of scale at the higher expected net sales in half year two. Overall, our updated outlook for 2023 confirms our continued path of durable growth by combining strong net sales growth, while increasing profitability. In sum, On's momentum continues at a very high rate. During the first half year, we have again achieved many new heights across products, geographies, and channels. And we continue to Dream On. The very strong growth of the first six months resulting in six consecutive record quarters was powered by the incredible teamwork of our dedicated teams and partners and required all of them at their best. We take this for granted and are extremely grateful for all the focus and hard work, but also positive spirit that we have experienced across all our offices, factories, and warehouses. With that, David, Marc, and I would like to open up to your questions. Operator, we are ready to begin the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Cristina Fernandez Christina Fernandez from Telsey Advisory Group. Your line is open.
Cristina Fernandez: Hi, good morning and congratulations on a good quarter. I wanted to see if you could expand a little bit on the second half outlook. How are -- how's the order booked for the second half from your wholesale partners relative to three months ago? And looking at it on a constant currency basis, the 44% growth that you have embedded, how has that changed?
Martin Hoffman: Hi, Christina, this is Martin. Thanks for your question. Let me reiterate on our statement or our guidance. So, we increased our guidance from CGH1.74 billion to CHF1.76 billion. If the U.S. dollar would have stayed in relation to the Swiss Francs, where it was at the back of last May, where we basically gave the last guidance, we would have increased our guidance to CHF1.78 billion. But the recent weakness of the US dollar [indiscernible] is expected to have that additional negative impact of about CHF20 million for the second half of the year. Just to put things in a bit in perspective, if you talk about the CHF1.76 billion and would convert it into US dollar today, we would talk about CHF2 billion US dollar sales. So we continue to see very strong growth, and this is reflected in the 44% currency neutral growth that we have for the second half of the year in our guidance. And we expect strong growth in both channels. Of course, there will be a strong focus on the holiday season, as also in the past, our second half of the year is driving a higher D2C share compared to the first half of the year. Important is also to remember that we are compounding against a stronger second half of the year last year compared to the first half year last year that was more impacted by the supply shortages. And so, we see continued very strong demand also at the beginning of the third quarter, now in the first weeks. We are in a good position when it comes to our inventory. So if we see stronger demand, then we will be able to fulfill that strong demand. And as we have shared in the past, our aspiration is always to exceed our expectations. And the order book is strong, the D2C engine is strong. And so we're going with a lot of confidence into the second half.
Cristina Fernandez: Thank you. And then as a follow-up, can you provide more color as far as the product launches? Just remind us what's coming out for the back half of the year, both in footwear and apparel? Thank you.
David Allemann: Christina, this is David. Very happy to do so. So as you know, at On, running remains core. And you have heard from Martin that we are the fastest growing brand right now at Fleet Feet. And so we're very excited that we continue with new products. And you have seen that reached our success recently with new franchises in running. And of course, we're doubling down on that. So for example, when you look at the Cloudmonster, expect to see products that are even more cushioned than the recent Cloudmonster extending that franchise. So, making sure that our recently added franchises remain and continue to grow as substantial building blocks for the business. You can also expect then new apparel in running. I'm especially proud about new running collection and energy collection that is fully made out of clean cloud material. And that is at the Pinnacle of run culture combining running and unique aesthetics. So we even punched the holes for your start number at the marathon in these pieces and engineered them. When it comes to outdoor, we are continuing with a focus on trail, adding a lot of lightweight models. And then when we come to tennis, you can expect that our collaboration with Roger, but then also with [indiscernible] we learn a lot about shoes and apparel. And we're adding updates to our performance ranges. So as well in tennis, we built from the very performance core and you will see in [indiscernible] and also at the second generation of the Roger Pro, the pinnacle of our performance tennis shoes.
Operator: And your next question comes from the line of Alex Straton from Morgan Stanley. Your line is open.
Alexandra Straton: Great. Congrats on another wonderful quarter. I've got two for you both. Maybe first, just on the market share gains that you mentioned, can you just elaborate on where you're getting those by geography and channel, maybe with what types of partners and then how you think about who you're maybe taking share from? Then secondly, it sounds like you view the 150 basis points of adjusted EBITDA margin expansion as the right balance of driving the top line, while also growing profitability. So just looking ahead, is that kind of what you're targeting on a forward basis or how should we think about kind of expansion from here? Thanks a lot.
Marc Maurer: Hey, Alex, this is Marc. Welcome also to everyone from my side. So On, I think we're very, very proud that we are taking market share across the board in a heavy promotional environment. So what we observed in Q2 is that quite a few retailers have relatively high inventory levels and that will also continue into Q3. So that has led other brands to need to discount the product and we have stayed very, very premium and at full price, which is then in the end reflected in our gross margin. So we're really gaining share in all geographies, including EMEA, including Germany, Austria, Switzerland, and we're doing that in different channels. So obviously, it just started at Dick's Sporting Goods, for example, and we're seeing very, very strong sales through, for example, On is the number two running brand in the household sports stores out of the gate, which surprised us very positively. And we're also, as Martin already mentioned, for example, Fleet Feet, On is the strongest growing brand. So really happy to see that. And even though wholesale grew so strongly, D2C was able to outpace wholesale growth, which shows the strength of the consumer demand.
Martin Hoffman: Alex, then let me take the EBITDA question. So as you have seen, we had a very strong first half year. We generated 2.5 times more EBITDA than last year. In that there is a lot of operational leverage. In addition, we compensated for around 50 basis points to 100 basis points of FX headwind. But we always said that we are very consciously managing towards the 15% EBITDA. And in a situation like the first quarter, but also now where we are exceeding our expectation on top line, this gives us additional opportunities to invest into the business and as such into the growth into the future. So at the moment, those investments areas are clearly around our commercial capabilities into our D2C and customer data engine. We are building a retail organization within the organization and then also investment into our tech backend. So our commitment is towards the 15%. And if we achieve higher net sales, then this gives us more opportunities to invest. But it's very clear also to add this, for the long term we are committed to further increase EBITDA. So the long term guidance that we gave of high teens, that's still our aspiration.
Alexandra Straton: Okay. Look forward to hearing more at the Investor Day. Thanks, guys.
Operator: And your next question comes from the line of Jay Sol from UBS. Your line is open.
Jay Sole: Great. Thank you so much. I want to ask about the stores, given the performance of the stores that you've opened in the last couple of quarters, how has it changed your confidence about opening more stores? And what are your plans for store openings over the rest of this fiscal year and even into next year, if you can share that with us?
David Allemann: Thank you for the question, Jay. So we are very -- we already spoke about in Q1 and we continue to be very pleased on the retail performance, the On store performance. We're able to attract and ignite and inspire new consumers, bring them into our On environment, which really helps, for example, the apparel share, because they can experience the brand in the full depth. So we right now, basically globally, On has seven stores, the next ones without China, so outside of China, the next openings are planned for Miami, Paris, and we're relocating Portland. Austin should come pretty soon. So we're really gaining confidence in the model. We're seeing the impact that it has on the consumer. And we will provide a more detailed update on the store outlook and the retail outlook at the Investor Day and how we continue to build On’s own spaces.
Jay Sole: Great. And maybe if I can follow up with one more just on inventory. If you can elaborate a little bit more about the inventory, because the growth rate really improved a lot sequentially from the last quarter to this quarter. Can you just talk about your comfort with the inventory level and when you see the inventory level getting back in line with the sales growth rate, or at least to a level that you feel like is appropriate?
David Allemann: Yeah. So we're really impressed with the work that the team is doing, also in collaboration with our factory partners who show a lot of flexibility, and we were able to decrease our inventory level compared to the last quarter. You have seen the numbers. So as communicated in the past towards the year end, we are aspiring to foresee that our inventory levels will be somewhere between our year-end 2022 and our Q1 number. We also shared that our aspiration at the current growth rate is to land at around 30% of net sales when it comes to our working capital. And now that we increased our guidance further, that would be equivalent to around CHF460 million of inventory. So basically right in line with the expectation that we gave. Very importantly, we are very happy with our in-channel inventory. So the inventory that is our wholesale partners. In the US, we are generally between three to four months of inventory. In Europe, even below three months. So we have a very healthy channel. Our inventory in our own warehouse is still fresh and is in line and will allow us to continue selling at a high full price share also in the remaining part of the year.
Jay Sole: Got it. Thank you so much.
Operator: And your next question comes from a line of Olivia Townsend from JP Morgan. Your line is open.
Olivia Townsend: Hi everyone. Thanks for taking my questions. My first one is just on current trading. And you sort of alluded that trends have been quite encouraging as you've headed into Q3. I'm just wondering if you could put any numbers around that as to how you see the new guidance for H2 splitting between Q3 and Q4? And then just secondly, on the inventory point, could you just give us an idea as well of like how the aging looks versus what you would normally expect? What kind of effects or ASP impact you're seeing in those numbers as well? That would be very helpful. Thank you.
David Allemann: Thank you for the questions, Olivia. So I'm quickly going to elaborate. On July and the first days of August and then Martin will give you or try to give you an answer on the inventory question. So July and the first day of August have been very positive for us. I think what's important is not just the number, it's how we get to the number. So which consumers are we reaching? What's the product mix that we're selling? Is it selling at full price? What's the D2C share and so on? And how balanced is it across the regions? It also comps to a strong second half of 2022 where we're still comping now in the first half of 2023 versus a relatively weak first half of 2022 that was very much supply constraint. So kind of keeping all of that in mind, we're very, very happy with how the first few weeks in Q3 have unfolded and how consumers are continuing to adopt On and the products that are very much rooted in performance.
Martin Hoffman: And then to the inventory question. So as I said, we have a very high share of inline inventory, in line with what we have seen in the past. For us, it was always important since the beginning to build a company also from a product lifecycle perspective that can maintain full price sales for a long time and as such protect the premium position of the brand. And so, our products have a relatively long life cycle and therefore the share of -- expected out-of-line inventory is relatively low. When it comes to ethics, there is no ethics impact in the inventory in itself. So it's based on the historical values, but of course, then when it comes into our cost of goods sold, that's where you see the impact.
Olivia Townsend: Thank you. And maybe if I could just ask a quick follow-up, just how many stores are you in now, both for JD, Sport and Footlocker, please?
David Allemann: Yeah. So Footlocker, by the end of Q2, we were in 175 doors in the US and 46 in EMEA. We're expecting to add an additional 50 in fall-winter 2023. With JD, we were in 166 doors in the US, 60 in EMEA. We're also expecting to add 50 in fall-winter 2023. Those are mainly conversions from finish line into JD, so most of it is in the US.
Olivia Townsend: Thank you.
Operator: And your next question comes from a line of Aubrey Tianello from BNP Paribas. Your line is open.
Aubrey Tianello: Hey, thanks so much for taking the questions. I wanted to ask on gross margin, and within the 59.5% gross margin of the second quarter, maybe you could break that down a bit in terms of some of the components like storage cost, mixed FX. I think last quarter, there were several transitory headwinds, just curious how that looked in the second quarter?
Martin Hoffman: I'm happy to do so. So, I think as we also said on the call earlier, the 59.5% gross profit margin in the second quarter is the strongest since the IPO. So it really shows that the business that we have built is able to deliver the long-term margin that we always communicated of 60%. So we have seen, again, a more normalization of the supply chain environment. So clearly, shipping rates came down. At the same time, we were using a very low share of air freight since we basically had the inventory in our warehouses already. Last year, we spent about CHF13 million on air freight in comparison. So this is the key driver for the increase compared to last year. And we have a bit of a headwind from the currency environment, but not significant. So for the second half of the year, as we said, we continue to expect a similar environment. And if the US dollar in relation to the Swiss franc stays at a low level, we expect that we can for the full year drive gross profit margin above the 58.5% that we communicated. And so, we -- currently there's a lot of confidence that we can show that.
Operator: And your next question comes from a line of Jim Duffy from Stifel. Your line is open.
James Duffy: Thank you. Good afternoon to the On team. We're hoping you can give us an update on some of the metrics you're seeing in your D2C business. Specifically, we're interested in how you're seeing the mix of new customers versus repeat customers and the mix of new products versus legacy products?
Martin Hoffman: Hi, Jim. Thanks for the question. So you have seen that the D2C engine continues to be extremely strong and really the power of our multichannel distribution has proven to be very strong, again, in the numbers. For us, it's a long-term strategy to grow D2C stronger than wholesale. And so the Q2 numbers are a further validation of that. If we look into the numbers, we continue to see a very healthy and comparable mix when it comes to repeat customers and new customers. So the growth is really driven by both customer groups. It's driven by a very balanced mix of products along the different customer groups that we are trying to reach. So from running, of course, with the products that David mentioned earlier, but then also into tennis, into apparel, into outdoor. So this gives us a lot of confidence going into the holiday season. We were able to invest more in upper funnel marketing and in brand building compared to last year where we were reducing our marketing spending to compensate for some of the air freight. So we have built a strong funnel. We laid it out on the call that we have seen a record in terms of visitors to our website, which clearly shows the heat of the brand. And so, as I said, this gives us confidence for the second half of the year.
James Duffy: Great. And then it sounds as though the management team has recently returned from marketplace visits in Asia. Can you speak about those visits and the inspiration to the strategy and capital allocation, if there's any difference in your view after visiting the marketplaces? Thank you.
David Allemann: Yes, thank you, Jim, for the question. Yes, so we -- actually there was a picture on the call as well for the ones of you who saw it. So, quite a sizable group from the management team visited especially China. And we're constantly visiting markets, right? So we spend a lot of time with our consumers. It's very, very important for us to understand where the consumers are moving and what's important to our fans. So this is what we're always doing. Unfortunately, we were very limited in traveling to China over the last year. So this was the first time since COVID broke out that we could actually go to China. So we spent time with the team. And what we learned is A that On has a very, very strong or kind of reaches a very, very strong demand and consumer segment in China, but it's still very unknown. So we are at the very, very beginning of our journey in China. The local team has been amazingly entrepreneurial in how they've built on and how they have responded to the Chinese consumer through a very, very difficult time. So we're seeing huge potential in China. And we're also seeing that retail works for On, it works for ON in China. And it will be an important pillar for our future growth. So we feel it's very much an opportunity. We have the problem that most stores are too small, which is a great problem to have. So we're looking into what's the right size of the stores within China, but also outside of China. So really a lot of insights that we can also take from China to the rest of the world. And we also spent some time talking about Japan and Australia. And I just want to highlight here that Japan as a market is a very big running and sportswear market. It's an important market. And we're doing very, very well in Japan. We're super happy about the growth rates. We're very happy with the performance of the On stores and our e-comm engine in China. And we couldn't be more thankful to the work that the team has done over the last couple of years in Asia-Pacific.
James Duffy: Thank you so much.
Operator: And your next question comes from a line of Jonathan Komp from Baird. Your line is open.
Jonathan Komp: Yes., Hi, good afternoon. Thank you. Martin, I wanted to follow up with a clarification that the distribution expense, I believe in the first half of the year, deleveraged by about 130 basis points. Could you just maybe quantify the extra storage fees that were included in that? And then when would you expect those to start to wind down here?
Martin Hoffman: Hi, Jon. There are two effects in that increased number. So, the first effect comes from -- we communicated this in the past, from our projects to build additional warehouses, which are fully automated. So, at the moment, we basically started to rent those warehouses and they're currently being built out with the automation solution. And this is already driving some additional cost. And the second element really comes from the fact that we had those high inventory positions. We had the inventory flowing in earlier than expected. So, we had to rent some additional warehouses to unload the products from the containers. And that's also reflected in the numbers. Now, the root cause for the second one is done for the rest of the year. So, we are not having those temporary solutions anymore. But we are still expecting to see the additional cost for basically the double warehouses until they go live. And in some cases that go live, that is not before early 2025. So, we will expect to see a bit increased distribution expenses compared to where we were in 2022 before we then see the operation leverage coming from the automation.
Jonathan Komp: Okay, that's very helpful. Thank you. And then one follow-up, longer-term question. When I look back two years ago, roughly to the IPO, you achieved many of your financial targets set at the time more than a year earlier, or even better in some cases. So, as we think forward, just wondering how you are thinking today about the right pace for growth for the brand. And would you expect top line to eventually settle closer to something like 20% or 25% growth as you slow the door growth rate in wholesale? And just how should we think about performance versus lifestyle if you're targeting one of those to grow faster than the other? Thank you.
Martin Hoffman: Yes. As you said, we have exceeded all the targets or most of the targets that we have given at the IPO, which was also the last time that we gave a longer-term update. So, we feel that On clearly is a very different company today, a different state of our growth curve, different level of maturity. And that's the reason why we decided to do the Investor Day on October 4, where we really want to highlight and talk about the points that you mentioned around our growth strategy, about our innovation, sustainability, but also give everyone the opportunity to experience the culture that we see in our offices around the world. So, let us put a lot of that information into the Investor Day.
Jonathan Komp: Understood. We'll look forward to that. Thank you.
Operator: Your next question comes from the line of Tom Nikic from Wedbush. Your line is open.
Tom Nikic: Hi. Thanks for taking my question. So, your growth in all the regions has been quite strong, though the EMEA region has been slower than North America and Asia. The EMEA region did slow quite a bit from the first quarter, which I guess is somewhat surprising given your home market, and I would think that you'd have good brand awareness there and stuff like that. Just can you talk about the trends in EMEA that you're seeing, and is there anything that's kind of restraining your growth in EMEA and preventing you from seeing the kind of growth that you're experiencing in North America and Asia?
David Allemann: Thank you for the question, Tom. So, let me elaborate a little bit on what we're doing in EMEA and how we're looking at the numbers. So, I think first of all, we want to say On grew in the first half of the year in EMEA with 40%. So, we feel that's a strong growth rate, and that's very much also in line with our expectations. In Q2, we grew by 29%, as already stated in the prepared remarks. We see a very strong demand coming from UK. We're very happy with the consumer mix. We already elaborated on the London store that is doing really well. We had pop-up spaces in Liverpool kind of tapping into an even younger consumer segment, so very, very happy there. Then we see we're really building markets like France, like Spain, like Italy. That's why we, for example, are accelerating the retail store in Paris, which will be a very important one to tap into the French market in an even more advanced way. And then we're very much refocusing On around performance distribution and running distribution in Germany, Austria, and Switzerland. Even though we're doing that, the strongest absolute growth contribution comes from those three markets to the European number. So, that's very, very important. On is still gaining market share in those three markets. They're growing, and they're contributing most of the growth to the EMEA region. What you can expect is that, in the second half of the year we will have an impact from roughly 5% to 10% on the European wholesale number from door closures. So, we're closing roughly 200 doors that are not focused around performance and run distribution and that are not reaching On’s core consumer segments. So, this is how we're looking at it. We're very happy on how kind of that effort is unfolding. One example, the Cloudboom Echo 3, which is our fastest performance product sold out in Switzerland within 24 hours, which shows that On is really being perceived at that performance running brand, and the efforts are working out.
Tom Nikic: Understood. Thank you very much, and best of luck in the back half of the year.
Operator: And your next question comes from the line of Abbie Zvejnieks from Piper Sandler. Your line is open.
Abbie Zvejnieks: Great. Thanks so much for taking my question. Just in terms of wholesale, a really challenging environment in the U.S. I mean, you've outperformed, obviously, but is there any difference you're seeing between performance products and lifestyle products? And then, is there any guidelines on how you're thinking about what your future opportunity is for market share in the specialty run channel? Thank you.
Martin Hoffman: Thank you. So, again, here, I think, as I already said, we're seeing a very promotional environment and we're very much focused around bringing premium products to life with our channel partners in our own D2C environment at the full price. So what this results in is, in our running range, growing even stronger than our all-day range, which is a great sign that basically the performance of the product is being appreciated and we're winning with the new launches that we just had, that David spoke about. So Cloudmonster and Cloudgo and so on. The second thing is, On is really playing at this intersection of performance and all day. So when we take a product like the Cloudmonster that is hugely gaining share on the running route, it's already the number two On product if we count right now on running routes, that's also resonating really, really well with the younger consumer in channels like JD. So that leads us then to a product like, for example, the Cloudnova that is a running silhouette, is an all-day product, but still shows very, very strong growth rate. So from a product mix, including apparel, we're very, very happy with what we're seeing despite that environment. And there's really nothing where we would need to say, hey, this is clearly lagging versus other products or where we would have expected to see different growth rates.
Operator: And your next question comes from a line of Sam Poser from Williams Trading. Your line is open.
Sam Poser: Thank you for taking my questions. Just a couple, lot of people have asked a lot of good ones. One, what is your forecasted -- like what is an optimum inventory turn? And then secondly, how many stock [colorways] (ph) do you have sort of within like the entire assortment of product? And three, what is your wholesale door count now versus -- globally versus last year? And what does that look like for the balance of the year?
David Allemann: Hi, Sam. Thanks for the question. So as I said, our near-term goal for managing our inventory is to finish in that range of year-end and Q1 number. So with the perspective of maintaining 30% working capital [indiscernible] of sales. We see many levers for improving that number going forward. So from better integrated business planning to managing our product life cycles even in a better way, working with more direct shipments towards our biggest retail partners. So a lot of opportunities to bring that number further down. And we have started to work on those. And we expect then over the course of the next years to improve our inventory situation. But at the moment, we need to balance basically our production commitments that we gave to our factory partners with the sales that we are having. And as I said, we have the right inventory on hand, which is important for us. And of course, managing the number of SKUs and having that -- seeing economies of scale there as well is a super important factor when we are planning our future product assortment.
Martin Hoffman: Just to add to - continue with the SKUs and the color options, I think for us, we're not looking at an individual level. We're really looking can we increase efficiency in our inventory? And are we reaching the right consumer in the right channel with the right variability? So basically, we would do certain color options with specific wholesale partners. And we've had product that was only available on e-commerce. And so how we are able to react to consumers and shape consumer perception is really what's guiding us here, keeping overall efficiency in mind. And then apparel is growing strongly. It's growing very strong in our own channel, as already mentioned. And with that comes more color options on the apparel side as well. Apparel very naturally follows different cycles. You want to have more [Technical Difficulty] t-shirts and so on. So expect that also to drive some of the color options that you'll see going forward. And then very quickly on wholesale. So by the end of Q2, we had roughly 9,800 wholesale doors. By the end of Q2 2022, it was 8,600 doors. Historically, we added roughly 400 doors to 500 doors, basically quarter-over-quarter. We're expecting this to drop a bit as we continue to work with larger partners that are reaching broader consumer segments as well. So expect the additional door openings to go down to probably around plus minus 200 till net new doors that’s important until year end 2023.
Operator: Your next question comes from a line of Ashley Owens from KeyBank Capital Markets. Your line is open.
Ashley Owens: Great, thanks for taking the question. Just looking at APAC, it's still a high single digit percentage of the business. But this is another quarter where it grew over 90%. Just curious on your thoughts for the sustainability of this moment in the near term. And then if there's anything you do as being low hanging fruit you can capitalize on to help maintain the current strength in the region? Thanks.
David Allemann: Yes, so on APAC, really, I think it's -- I mean, the future will be dominated by the growth of China. And this is really right now. It's about how fast can we capture consumer demand. This is about our capability to open new doors because a lot will be own and franchise distribution. It's about our capability on how we can expand with some of our e-comm partners like T-mall. So we don't see any kind of major constraints in terms of market size. And definitely when it comes to China for a very long time to come. What's important, we're building a premium performance sportswear company. And that's how we're winning in China. We're not going to win our prize. We're not going to win in a promotional environment. So this is dictating and shaping our pace. In Japan, we're a bit further ahead. So super happy with what we're seeing right now. Japan definitely still far away as well from reaching maximum potential. But it's clear that we don't have as many years growth ahead of us in Japan and Australia to that versus China. What's almost untapped is the rest of Asia Pacific. We're talking about huge countries like Indonesia, for example. So this is very much distributor-led. And that's definitely a more long-term opportunity for us to focus on when we're ready for that market.
Ashley Owens: Great. Thank you.
Operator: And your next question comes from a line of Janine Stichter from BTIG. Your line is open.
Janine Stichter: Hi. Good afternoon and congratulations on the strong quarter. On the slower wholesale door growth over the next several quarters and the selective closures you mentioned, is that solely related to the repositioning on the European wholesale? Or is there anything else in there? And then more broadly, we'd just love your thoughts on what parameters you think about when you choose to exit a door? And then as a follow-up, as you look at your door base, would you expect there to be any more meaningful closures beyond H2 of this year? Thank you.
David Allemann: Yeah. So as Marc said, we expect to close around 200 doors in Europe. And that's basically what's also incorporated in the number that Marc just gave where we expect a net addition of doors of 200. So we expect the impact on sales a bit distributed across the second half of this year, especially Q4, and then also Q1 and Q2 next year as related the doors are closing or we stopped the supplying at the beginning of next year. But of course, the reorders from those doors will already be significant visible towards the end of next year.
Marc Maurer: In general, I think we can look -- from the wholesale growth, usually 60% is coming from new doors and 40% is coming from existing doors. So that's still relatively consistent. And we're constantly looking at what is our optimal environment in which we can reach our consumers in the best possible way. This is how we're working with our partners, how we're working with our e-comm engine, our own stores. And right now, we feel very comfortable with where we are with the partner landscape, including these closures, and we're not foreseeing any significant impact in, for example, 2024. So this is really an effort that we're doing now. And we're very happy with our other partners and how we were able to tap into the consumer segment.
Janine Stichter: Great. Thanks very much.
Operator: And this is the end of our question-and-answer session and also concludes today's conference call. Thank you for your participation. You may now disconnect.